Operator: Welcome to LeCroy Corporation first quarter fiscal 2009 financial results conference call. (Operator Instructions) At this time opening remarks and introduces, I would like to turn the call over to Mr. David Calusdian of Sharon Merrill Associates.
David Calusdian - Sharon Merrill Associates: Good morning, everyone and welcome. In connection with this conference call LeCroy wishes to take advantage of the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995 with respect to statements that may be deemed to be forward-looking under the Act. All such forward-looking statements are only estimates of future results and it can be no assurance that actual results will not differ materially from these expectations. Information on all of the potential factors that could affect LeCroy Corporation's business are described in the company's reports on file with the Security and Exchanges Commission as well as in this morning's press release. Any forward-looking statements only represent the company's view as of today, October 15, 2008. While LeCroy may chose to update these forward-looking statements at a later date, the company specifically disclaims any duty to do so. On the call with me this morning are LeCroy's President and Chief Executive Officer, Tom Reslewic and Vice President and Chief Financial Officer, Sean O'Connor. I'll now turn the call over to Tom.
Thomas H. Reslewic: As you saw in our news release, we kicked the fiscal year off with a successful first quarter reporting strong sales and earnings. Our oscilloscope business which continues to roll out exciting new products is largely responsible for this growth. In fact, this is an all-time first quarter record for oscilloscope sales which were up 12% compared to a year ago and 6% compared to the sequential fourth quarter. Protocol continues to be a bit sluggish as the next generation standard we have traditionally focused on without being adopted as fast as the market had anticipated. Our order linearly, which is measured by the orders we received in the first nine weeks of a quarter, was 67.4% in the first quarter compared to our target of 61%. We had a very strong July and orders remain steady throughout the quarter. I'll provide some financial highlights for Q1 before Sean reviews the numbers in more detail. The total sales for the quarter were $40.7 million an increase of 5.2% compared to last year and up slightly from the sequential fourth quarter. Now it's important to note that although our first quarter is typically our seasonally slowest, this first quarter of 2009 represented the highest sales in 11 quarters. We owe much of this success to the timely watch of our new oscilloscope products as well as our improved channel effectiveness in North America and another quarter of extraordinary growth in our European scope business. Our overall non-GAAP gross margin was slightly lower than we had originally expected at 56.7%. We contribute this off primary to a lower percentage of Protocol products in the overall sales mix. Our non-GAAP net income for the quarter was 2.2 million compared with 2 million for the first quarter in '08. This translates into a non-GAAP EPS at $0.18 for the quarter compared to $0.17 for the same quarter a year ago. Now we continue to focus on strengthening our balance sheet. During the quarter we repurchased another $2.7 million of our outstanding convertible debt and so far we've repurchased 10% of the convertible debt at a discount of more than 11%. We also repurchased 28,000 shares of common stock for $224,000 during the quarter. With that, I'll turn it over to Sean to review the financials in more detail.
Sean B. O'Connor: Thank you, Tommy. Good morning, everyone. In my discussion, I will occasionally be referring to adjusted non-GAAP operating results. We use non-GAAP results as a supplement to our results based on GAAP because we believe this provides additional insight into our underlying results and can enhance the understanding of the company’s ongoing business. The press release we issued this morning contains a reconciliation of the non-GAAP results to their most closely related GAAP results. The non-GAAP adjustment in the first quarter reflects non-cash as 123R share base compensation expense of approximately $877,000. With that, we'll come to the first quarter results. As Tom mentioned, revenues for the first quarter increased 5.2% to $40.7 million from $38.7 million to the year earlier quarter and we're up slightly from the sequential fourth quarter. Our cost of sales in the first quarter was $17.7 million. This includes $47,000 per share based compensation charges excluding the stock based compensation costs. Non-GAAP gross margin for the first quarter of 2009 was 56.7%. This compares with 58.5% non-GAAP gross margin for the same period last year and 58.9% for the sequential fourth quarter of fiscal 2008. Gross margins are down 180 basis points from prior year primarily due to the mix of the oscilloscope products relative to protocol products as well as the continued sales of Legacy Oscilloscope demo inventory. Total operating expense for the first quarter was approximately $20.4 million. This included $830,000 of non-cash share based compensation charges of which approximately $585,000 was charged to SG&A and $245,000 was charged to R&B. Excluding these items non-GAAP R&B expense was $7.6 million or 18.6% of revenues. This is slightly higher from an R&B expense of $7.2 million or 18.7% of revenue for Q1 of last year. Excluding the share based cost I just mentioned, non-GAAP SG&A expense for the first quarter was $12 million or 29.5% of revenue compared with $11.1 million or 28.8% of revenues in the same period last year. The increase in our SG&A expenses was primarily due to the increased variable costs on higher revenue base as well as incremental marketing cost associated with the new product launches. Turning to operating income on a GAAP basis including the share base charges I noted previously, we generated a first quarter profit of $2.6 million compared to a $2.3 million profit for Q1 last year. Excluding our share base compensation costs, our Q1 fiscal 2009 non-GAAP operating income was $3.5 million or 8.7% non-GAAP operating margin. This compares with $4.3 million or 11.1% non-GAAP operating margin in the first quarter of last year. Other expense was $340,000 in the first quarter. This consisted primarily of net interest expenses of $848,000 offset by $256,000 foreign currency gain as well as a $252,000 gain on extinguishment of the company's convertible debt. The company repurchased an additional $2,650,000 of convertible bonds at a discount of more than 12%. However, that gain was reduced by $73,000 of pro rata write-offs of unadvertised bond issuance costs. In the corresponding quarter of fiscal 2008, we reported other expense of $1.3 million primarily net interest expense and the foreign currency loss. Our affected tax rate on a GAAP basis for the first quarter was approximately 33.5% compared to 33.7% in the same period last year. Excluding the impact of share based compensation expense, the full year normalized tax rate was approximately 32% compared to 31.5% in the year ago period. For the first quarter of 2009, we're recording GAAP net income of $1.5 million or $0.13 per share. This includes the after tax effect of non-cash 123R charges previously noted. Excluding those charges, our non-GAAP net income was $2.2 million or $0.18 per diluted share. This compares with non-GAAP net income of $2 million or $0.17 per share in the same period last year. The number of shares outstanding [inaudible] the first quarter APS was 12.1 million shares. This compare with 11.9 million diluted shares outstanding in the same period last year. Now turning to our balance sheet, our cash position was approximately $7.7 million at quarter end. During the quarter, we repurchased and retired almost $2.7 million of convertible bonds. During the past two quarters, the company has repurchased approximately 10% of our previously outstanding convertible bonds. We also repurchased approximately 28,000 shares of company stock paying approximately $224,000. Our Q1 net accounts receivable balance decreased to $32.6 million compared to our prior end year of $32.3 million. Inventory increased approximately $2.5 million during the quarter to $35.4 million. This is primarily due to the demo inventory built for the new Wave Pro 7 product launch as well as material purchases for upcoming new products offset by the sale of Legacy demo units. In Q1, we used cashable operations of approximately $500,000 which is a bit better than our plan and was significantly improved compared to the $1 million used in the same period last year. CapEx for the quarter was approximately $1.2 million. The company currently has fortunately 62 employees about 65% in the United States, 20% in Europe, and 15% in the Asia Pacific region. Our annualized revenue per employee was $353,000 in the first quarter of 2009 down slightly from $359,000 a year ago. So to sum, as Tom mentioned, we are pleased with our first quarter results which gives us confidence in our prospects to execute our 2009 plan. With the launch of our first major product with the Apollo chip set and plans for aggressive rollout of additional exciting products, the company is in a much stronger competitive position. At the same time though we are carefully monitoring any customer weakness in major segments we participate. We also continue to be prudent and keep a sharp focus on controlling expenses. I'll now turn the call back to Tom.
Thomas H. Reslewic: Okay, thanks, Sean. So I'll start to talk about the oscilloscope products a little bit. As I mentioned the scope product line delivered a record summer quarter for LeCroy. In Q1, in July actually we successfully launched our first product to feature the next generation Apollo chip set, the Wave Probe 7 series. We deployed the demos in the early part of the quarter, our trained sales force in the beginning of July, and we began shipping the product in September and it has been an absolute success so far. The feedback has been excellent. Our customers are particularly impressed by the scope's speed, responsiveness, and quite a number of less features. It's been a long time since I've seen our sales force so excited about a new product. Now in the standard LeCroy playbook, we have always tried to discontinue old products as new ones replace them. Then we try to migrate the customers quickly to the new products. Based on a lot of marketing, the field visits, and significant customer inputs, we scrapped this practice when we launched the Wave Pro 7 in July. Some customers had build the Legacy Wave Pro and Wave Master Products, the predecessors, into their R&D processes and may not be quite ready to move to the Wave Pro 7, so we've continued to offer these products and will continue to do so as long as customer demand remains reasonable. This really turned out to be the right strategy in the summer as the older products continue to sell well in Q1 right along side the even stronger Wave Pro 7 series. The Wave Pro 7 is just the beginning of our new product rollout campaign. Our pipeline is filled with exceptional new products that we expect to launch throughout fiscal '09 and into fiscal '10. For example, in addition to the Wave Pro 7, we entered a completely new oscilloscope market segment late in this quarter with the launch of our Wave A series. The introduction of the Wave A provides LeCroy with its first opportunity to participate in a sizable market for very low cost scopes with some 100 megahertz based with price points as low as a $1000. During the past two years, we developed a second, third party distribution channel to sell our lower price and [bend] with product line the Wave Surfer and the Wave Jet. Now the way they physically load the Wave Jet enables us to significantly expand our product line for our distribution network In terms of the market segment breakdown, we saw only minor shifts this quarter. Computer semi-conductor and consumer electronics segment remains the largest component of our business at 32% of total. The automotive electronics segment and the data storage segment traded places as automotive increased to 20% and data storage declined to about 18% of our total. In terms of geography, our European operation continues to set the pace for LeCroy quarter after quarter. Europe was up again more than 20% in year-over-year and we believe we're taking real oscilloscope market share in that geography. North America also performed very well reporting 10% growth year-over-year. As we've been reporting market softness in Japan continues to affect our sales in Asia. Overall Asia sales including Japan were down 7% and to give you a sense of how the rest of Asia is performing if you exclude Japan, Asia was up 5%. Taking a look at the protocol business, on our last call I discussed our efforts to drive growth in the protocol business by expanding beyond standards such as USB, wireless USB, STATs, and STA and PCI Express. The pace of the rollout of new silicon adoption rates for these next generation standards have been slower than anyone had anticipated. Now despite this slower growth our Protocol business remains very profitable and the market share leader in each of our target segments. We've already begun executing a plan to reignite the Protocol group as a growth business for LeCroy and beginning in the second half of fiscal '09, we hope to see some of the results of our early efforts to broaden the areas of focus for this Protocol business. At the same time we still see opportunities for our core standards as the adoption of these standards begin to accelerate. And we're certainly prepping our advantages in each of our core segments with a significant lineup of new products. In August, we launched the world's first complete USB 3.0 Protocol analyzer solution, the Voyager, which is our sixth generation verification platform. We believe that the emergence of USB 3.0 also known as super speed USB will be a sizable opportunity for us. USB was LeCroy's first Protocol standard with more than 10 years in the market and we have a commanding presence. At the end of September, we also launched new Protocol tools for next generation six gig STAT and STA data storage standards leveraging our expertise in high speed serial data analysis, the new Sierra verification system provides unparalleled performance in this industry. Now a little bit on our outlook, so with one solid quarter in the books for fiscal 2009, we need to turn our vision forward and take a look at what the rest of year has to bring us. Unfortunately like many other companies right now, our crystal ball is a bit murky. While our execution has been very solid we're somewhat uncertain about the demand for oscilloscopes and Protocol alliances towards the end of calendar '08 and the beginning of 2009. We're hopeful that our high concentration sales into R&D and our limited exposure to manufacturing applications combined with our impressive new product pipeline will provide some insulation for many global slow down and demand for test and measurement equipment. After the first two full weeks of October in our second quarter, we continue to see a healthy demand environment. orders are significantly higher than the first two weeks of October a year ago which coupled with the strong linearity we had in Q1 would normally give us cause for optimism in Q2 but despite these positive indicators, given the external environment, we're keeping a sharp eye on indicators like elongating sale cycles and delayed orders that would point to a slowdown in our business. We feel well prepared to handle such a slowdown if necessary. We're starting with solid operating margins, good control over our expenses, and we are capable of reacting very quickly to any negative change in demand. Having said all that, we feel it's premature to make any changes to our outlook for the full year which we just presented in August. Our full year guidance for fiscal 2009 is for revenues in the range of 167 to 173 million and non-GAAP operating income in the range of 17.5 to 18.5 million. Of course, this excluded non-cash share based compensation expense and the other items as we have defined in the past. So with that, I think we've given you a sense for how well we're doing as we started the year and some of our uncertainty regarding a demand environment in the sense that we have and we feel we're reasonably well prepared if things start to materially decay. So I think that’s a good place for us to stop and take your questions.
Operator: Our first question comes from John Harmon – Needham & Company
John Harmon: A couple of questions please. For starters you said your gaining market share in Europe. What is this there that you think you're doing differently?
–: A couple of questions please. For starters you said your gaining market share in Europe. What is this there that you think you're doing differently?
Needham & Co.: A couple of questions please. For starters you said your gaining market share in Europe. What is this there that you think you're doing differently?
Thomas H. Reslewic: I don’t think we're doing anything differently other than than pouring new products into a very well established channel. So it's really more about momentum than anything else. I think Europe has been a place where we have continued to increase our penetration over the last several years particularly in fiscal 2007 and in '08 when we did not have a lot of new products. We really maintained our focus, built our channels well. So it’s the place that where we start with the strongest share. I think we've just done very well there and the new products just come down the onramp so much more smoothly in areas where you have good share and strong presence though its really a combination of the work that’s been done over the past few years combined with a pretty exciting array of new products.
John Harmon – Needham & Co: And secondly, I think in prior quarters you talked about a new product on the Protocol side that would merge storage and data com protocols, how is that coming along?
Thomas H. Reslewic: We're really focused on making sure that we bring PCI Express focused products to the CSP Express guide and protocol solutions for storage technology, the storage guides. When we start to talk about platforms that could potentially merge things, you know a lot of that is internally focused platforms that give us the ability to deploy our – customize and fine tune solutions that can then be broadly deployed into various technology segments. We haven't yet moved toward marketing products that serve multiple protocols and leaving that as it is, we certainly have some ideas on things that we might be doing in the future that kind of move a little bit beyond just the Protocol and may offer various options and configurability to support multiple protocols on a single platform; but that’s a little premature at this point in time where our customer operators are still very focused around one technology segment at a time.
John Harmon : Thank you, and just finally in previous times where businesses and [inaudible] and you talked about warning lines or a red flag, it doesn’t sound like you said that you’ve seen any thus far.
Needham & Co: Thank you, and just finally in previous times where businesses and [inaudible] and you talked about warning lines or a red flag, it doesn’t sound like you said that you’ve seen any thus far.
Thomas H. Reslewic: Well, yes, like I've been saying lately that if you flew in from Juniper and landed at LeCroy first and didn’t read the newspapers or look at anything other than our orders or our funnels, you would have a hard time being convinced that there is anything amiss. But we know there is something quite amiss and what we just don't know is what the impact is going to be. I go back to the 2001 period and into 2002 and went back and really looked at our own revenue drop was at that period of time and we felt like we're seeing back then decays in the 15% range and of course, that was a largely technology focused problem. Today I think what a couple of things that are different are we have launched products that take us below and above where we have been selling products. I should say to be more precise the way they pick this gives us products below the way of jest so that’s certainly into areas of the market that we haven't been before. The Wave Pro 7 doesn’t do that. It really replaces products between one and six gigahertz. We have had very limited offerings above six gigahertz in the past and we are in the process now of dramatically changing that. I think that the products that we launch in the next 90 to 150 days as well as the new Wave Age really give us an opportunity to reach into some market segments that we haven't played in lately and we see those as great insulators. I have no way to predicate whether the overall test and measurement market will see 20% drop or 25 or 50. I can't predicate the new – no lights on own internal dashboard that say anything other than all systems go. I tend to be rather concerned and to believe that sooner or later the check engine light will be flashing. So our focus is to drive hard on the products that we believe take us into areas that we're not playing in right now because we think that anything we gain in those areas will be incremental. We've got a real sharp eye on our expenses and costs. We've proven in the past that we can react very quickly and that we're not afraid to take strong actions if needed. So armed with kind of planner on new products and an ability to react fast if necessary, we feel reasonably confident. In fact I would even say that this downturn just too some degree could be our friend. I mean I think that we will come out of this much, much stronger than we go in. We're probably in the best position we've been in a long time in terms of the right team, really good execution, a little bit of track record behind us here, and a lot of products in the pipeline. So, our lights aren't lit up but we are concerned.
Operator: Our next question comes from [Adeep Phi] – Thomas Weisel Partners.
[Adeep Phi] - Thomas Weisel Partners: Just a couple of quick questions. I think the first one regarding your growth margin. It's the lowest growth margin you've had now in five years. And I think you just talked about mix like the lower protocol mix [inaudible] but on the quality you also mentioned something about inventory, demo inventory that you bought up. Could you give us some color as to what contributed how much to that drop in growth margin on a sequential basis? And then after that, also sort of address the pricing environment.
Thomas H. Reslewic: Yes, just, did you say pricing at the end –
[Adeep Phi] - Thomas Weisel Partners: Yes, yes.
Thomas H. Reslewic: Okay. Yes, okay, so the single biggest factor in the core without a doubt on both a sequential basis and year to year basis is the relative mix between the Protocol business and the scope business. So the scope business tends to run more in the generally mid-50s and the Protocol business tends to run in the mid to high 70s. We had the lowest ratio of Protocol over scope revenue that we had in probably 12 or more quarters, so really a very soft quarter for Protocol. As luck would have it, also an extremely strong quarter for scopes. Actually not only was it was a record quarter, a record first quarter for scopes, it was actually the second highest oscilloscope revenue quarter we've ever had in history. And for that to occur in a Q1 is rather unusual. So we had to just a great business in the scopes so the ratio of the two tends to drive it the most. Then inside the scope business our gross margins inside the scope business were actually off as well compared to what we had expected and most of that had to do with selling of the demos and also the mix. As I said we did something very different. Normally we like to discontinue the old products and get rid of that all stuff and then switch everybody over to the new products. The last couple of introductions that we've had in the last couple of years, I'd been well somewhat disappointed in the process. I felt that we disappointed some customers by not keeping the products that they had built software around in the lineup for a while. So we did it very differently this time. We launched the new products and we sent the message out to the field and the customers that the previous generation products would stay in the lineup. We'll keep making them. If you –as long as the customers keep ordering, we'll keep making them and they really took us up on it. So in our mix, we sold quite a few of the older products. We moved a lot of demo instruments during the quarter and that tended to drive down the average selling price through the quarter as well. Also, our early Wave Pro 7s – now the Wave Pro 7 runs from a gigahertz up to six gigahertz and usually the higher end product, the four and six gigahertz products, are sold heavily into serial data applications. We just launched, in actually early October, a next generation serial data package called SDA 2, which is really quite an innovative package and we felt that our mix in Q1 reflected this act that we sold a lot of the early Wave Pros at the one, two, and one and a half, two and a half, and three and a half gigahertz range and fewer at the four and six. That seems to be changing here as we move into the October quarter with the launch of the SDA 2. So, inside the scope business, demo sell off mix and pricing is getting – pricing is a little bit harder to triangulate only because we're – we don't have apples-to-apples comparisons. We're changing the product line so much. And I would further say that we have not felt that we've been in a mode that we've been over the past year where we've been conscientiously giving up a lot of pricing. We felt that we've been able to maintain our prices pretty well. Late in the quarter we started to have some decay in the ASPs as a function of the strength of the dollar against the Euro and with such a strong quarter in Europe, that had some impact on us late in the quarter. But fundamentally its – the real restorative answer is mixed. First mixed between Scopes and Protocol and then inside the Scope business mixed as well. And we still feel confident that the gross margins are going to get to where we need them to in the mid to longer term.
[Adeep Phi] - Thomas Weisel Partners: And with – so does that imply that you expect the Protocol business to start seeing healthier trends than it has over the past couple of quarters?
Thomas H. Reslewic: Yes. I think that we've certainly seen a couple of quarters that have been slower in Protocol mostly related to market adoption. And then I think that the first quarter was just an exceptionally low data point. The number of things happen kind of simultaneously. We had a new product launch at the end of the quarter in data storage, so I think there was some anticipation of the new product in data storage. In fact, our funnel as we go into the second quarter for data storage is excellent. We launched again at a plug fest toward the end of the quarter, our USB 3.0 Voyager solution which is a really outstanding and exciting product. We think that had some impact on people waiting for that product line especially as people want to buy USB 2.0 capability with migration path to 3.0. I think people really wanted to get into that new platform and then also some general softness in PCI Express. You could say these things all together kind of conspired to make the first quarter just really, really –
[Adeep Phi] - Thomas Weisel Partners: But see some of those others that are [inaudible] we saw like PCI Express and some of the other weakness that you saw in the Protocol business, do you see any signs of that actually improving going into the December quarter?
Thomas H. Reslewic: Yes, you know our funnels indicate that a much stronger December quarter and of course, I answer all of these questions pretending that I haven't been reading the newspaper at all in the last –
[Adeep Phi] - Thomas Weisel Partners: Right, just based on your visibility of what you're seeing, you saw some weakness out of PCI Express. You had a product, a new product announcement on the storage side. But when you put all that together and you see where you are right now, you feel that the December quarter is going to be rebound on the Protocol side because of the sales funnel as you see it. You're not seeing customer weakness on PCI Express front or spending on next generation technologies outside of storage. You're not seeing any third or deteriorating trends over that? Is that fair?
Thomas H. Reslewic: Yes, that’s correct.
[Adeep Phi] - Thomas Weisel Partners: And then when you're looking at your tax rate, the past two years after your first quarter, your September quarter usually marked the high point in your annual tax rates and after that it usually dropped quite a bit for the December quarter and the June quarter might see a little bit of an uptake but usually it was pretty low in the December and March quarter. Can you some color as to what drove that and how we should be modeling the rest of this year as far as stats goes?
Sean B. O'Connor: Yes, if you– and actually with the President signing a new tax law ten days ago or so, there is going to be another Q2 item in the December quarter, so a lot of it has to do with either this R&D credit has been on again, off again in terms of getting an R&D credit that’s a dramatic help in our tax rate, as well as updates to our geographic earnings mix. So the 32% that we have projected going into this fiscal year is probably on the high side given the new tax legislation that was passed. And that could help us by up to two points.
[Adeep Phi] - Thomas Weisel Partners: Then two more questions. One is regarding your liquidity, just the fact that you’ve been buying back your shares and also buying back your debt, and you do have a pledge [inaudible] that’s out there so can you walk us through what the highest uses of your cash are right now. Whether there has been changes from your bankers in terms of the credit actually and how you're prioritizing buying back your shares and if you're buying back to convert on go forward basis.
Thomas H. Reslewic:  I'll just start with kind of strategic view and then give you to Sean for the details. At the highest level we had been throughout the first half of calendar '08 and into early part of the summer, we felt there was a real opportunity to use our strong cash generation to go after our convertible debt particularly because we're able to buy it back at about 11% discount. So we did a fair amount of that. And pretty much early in the summer, we stopped that practice just as we're looking ahead to some of the overall issues in the overall credit market and thinking that it'd probably be a little bit wiser to go into more cash conserve mode. And that’s really where we are at the highest level right now is just taking a little bit more of a not so aggressive approach even though the discounts are still attractive, we think right now is just not the best time to be sending our cash that way. I'll give you to Sean for some of the thoughts between both –
[Adeep Phi] - Thomas Weisel Partners: And that would also apply share buy back. So you stopped your share buy backs as well and conserving cash. You're in cash conserve mode right now. Is that fair?
Thomas H. Reslewic: Yes. The cash mode, that’s correct.
Sean B. O'Connor: That’s fair.
[Adeep Phi] - Thomas Weisel Partners: We'd love some more color on your credit arrangements.
Sean B. O'Connor: We actually have an excellent relationship with our bank group. We have M&T Bank as our lead bank, with Capital One and Bank of America as the three members of our facility. And we have in terms of our cushion, if you will, in terms of our convening calculations, we have enormous amount of flexibility, if we wanted to borrow onto our facility, if strategically we changed our minds with buying back the convertible bond, that's one of the enormous flexibilities we have with the current facility. So, there's no issues there and we're very pleased with where we stand in terms of our, the $50 million revolver and we have no plan to change that.
[Adeep Phi] - Thomas Weisel Partners: But now why, when you're looking at your convertor and you're looking at you now your draw down for this credit accessibility, I think one of them is much cheaper than the other, right? I mean one of them is linked to the higher of libel or primarily, not the lower, okay. So I mean when you're prioritizing the two, you still think that the credit accessibility, the cost of the [inaudible] as to the cost to convert, which one do you think in the long run is going to prove more expensive for you folks?
Sean B. O'Connor: Well, the convertible bond being at a 4% rate compared to approximately a 6% rate we borrowed under the revolver, there's clearly an advantage to keeping the convertible bond as is. It's not you now on a put date for another three years, it's longer term than that and we just don't see the strong need to borrow under a revolver that's really primarily there for working capital need, not necessarily to redeem the convertible fund, even though as Tom is mentioning that it is trading at a significant discount, so getting that discount is really money in the pocket, by taking advantage of where the bond is at today.
[Adeep Phi] - Thomas Weisel Partners: Got it, OK and then just looking at it from a strategic high-level level perspective, you looked at, you've talked about share gains, expanding a portfolio and done a pretty incredible job instead of introducing new product. But, could you give us some color right now, just in terms of you know you read the scale to the larger players you know where you think your market share and [inaudible] profit is right now? And whether still as you introduce more and more product, but you have lower volume in each product than a larger comparative, whether that actually is playing to a scale disadvantage and whether there're any other methods they're looking at from a strategic perspective of building scale further?
Sean B. O'Connor: You know, I think that one of the - I would say one of the areas that probably didn't help us very much say, two, three years ago, was focusing more on scale than raw competitive performance in the products. I think that the most important thing that we can do for our customers and for the value of LeCroy, relative to our competitors is to feel really meaningfully competitive well differentiated products. And I think that we are quite capable of doing that. I do believe actually, out growth margin structure is very competitive. If I look at you know what we've accomplished with the people we have, if you look at our revenue per employee, compared to our competitors, which similar outsourcing mixes, those numbers are all pretty impressive. So, we get a lot done with a little. But I don't think it's a game of scale - I definitely believe it's a game of really delivering more competitive products with differentiating features that have meaningful impact on the customer base. We see it, we're seeing some tremendous gains that we feel we're still going to make in the market with the WavePro 7, but not just the WavePro 7. There's underlying technology, the architecture in the WavePro7 as we move that up bandwidth, it's going to have some really significant impact on customers. So, for us right now, it's about really making a meaningful dent in the segment that we play in with competitive products that means that we'll spend a bit more in R&D as a percentage basis. It's impossible for me to calculate the share at this point in time, I don't really know, but I definitely have the sensation that we have moved into a domain where we're going to, when we get the chance to go head-to-head, we're going to win more than we lose and so it's really all about the products right not.
[Adeep Phi] - Thomas Weisel Partners: So, what percentage share you think now you have now in the overall scope market and also any changes in comparative behavior out of your two largest competitors there?
Sean B. O'Connor: I'm going to continue to decline the first one, because I just don't know. I don't really know how to calculate it at this point and in terms of competitive behavior, I think that you know the Wave 8 hasn't been out long enough for us to see, but I will tell you that we have for years had a very, very difficult time attracting top tier distributor companies. People that have meaningful catalogs that get distributed in the hundreds of thousands, it's never been anything we've been able to do, even then we've been able to move our WaveJets and our WaveSurfers into a distribution network, we've had a hard time attracting top share distributors. The [inaudible] it's seriously changing that, we are engaged in a number of productive conversations and we've signed a number of distributors that we think are going to really help us move forward. And I think that's going to be significant and I think that's going to change the competitive landscape at the low end. And I think certainly in high end, you know if high end business takes a lot of investment, takes a lot of time in advance to make the investment chip developments, the tests to start and run, two years in advance of products being deployed. We're not at the beginning of that cycle today, we're at the end of that cycle, so we're really on the door step of deployment and I think that you know, especially if we move into more challenging economic times and we look at our competitors, which I think will be more impacted, more exposure to the manufacturing segment than we are, I think that we have an opportunity to really maintain our focus on our new products and do well competitively. Our next questions comes from [Mike Crawford] – Riley Investment Management.
[Mike Crawford] – Riley Investment Management: When does the WavePro 7 start shipping?
Thomas H. Reslewic: It started shipping in the early part of September, Mike.
[Mike Crawford] – Riley Investment Management: So you were taking orders since July 1 and it started shipping just about as you expected, no hits there?
Thomas H. Reslewic: Exactly right, not quite to the hour, but almost
[Mike Crawford] – Riley Investment Management: Now, it's my understanding that this new kind of platform and chip set have potentially a lower build of materials compared with the old platform, but that maybe to get your manufacturing margins right and some ramp up time. Can you kind of walk through the type of margin improvement in general that you might expect going forward?
Thomas H. Reslewic: Yes. I think that the margin improvement as a function of the new product, it becomes more significant as you get higher and higher in bandwidth. So, you know really got in the WavePro space, it's not quite as significant, as we start to look at you know products that may come in the future, it just gets more and more significant as we move up in bandwidth. And also, there's a time, there's a time period and also some, a few other factors. So, if I go back to the very beginning when we had started you know to plan the product, we are looking at bills of materials and manufacturing's costs today that are in fact a bit higher than we had originally planned for. And that's because we spent an awful lot of time in front of customers in beta tests and with our sales force, trying to make sure that our feature set was absolutely compelling enough. And that sometimes meant a faster processor and a little bit more memory and maybe more sophisticated relays and more rugged knobs and encoders. So, we bit the bullet and added those things and so our building materials isn't quite what we had expected when we started and I think it's you now probably about a six month ramp before we get the early production cost to settle down to the target. But by and large, overall, we are going to see not only more favorable margins because of the cost structure, but because of the fact that these products has such a compelling capabilities that we won't be pricing them like we had with the last generation products which was deep, deep discounts and much lower pricing just to stay in the game. So we feel have an opportunity to really command a great price for these products and that plus some improvement in the building materials will drive better margin structure. And particularly more so at higher bands.
[Mike Crawford] - Riley Investment Management: Okay and then on the lower bandwidth, so they stopped being produced and [Sen Chang] is that –
Thomas H. Reslewic: Yes, that is correct.
[Mike Crawford] - Riley Investment Management: And when do those start to ship?
Thomas H. Reslewic: These things – at imminent. We're kind of as we speak we're in the process of the first units coming out of the – off the manufacturing lines.
[Mike Crawford] - Riley Investment Management: Okay and then I think I heard you that Asia excluding Japan would have been up 5% but Asia and Japan was down 7% so Japan remains in some throes given the change in the distribution channel there. What's –
Thomas H. Reslewic: Yes, although its been a long – its been a very long time since we've made the changes to the channel. We definitely believe that we have a lot of external factors there and so some key customers have definitely slowed down so we're experiencing what we feel are some localized market and customer issues in Japan. Certainly even without the change in the distribution we've never really Japan back to where I thought it should be. So it still remains as a project for us but I don't believe that even as it is today it represents a threat to our business plan. Like I say I answer these questions as if I hadn’t read a newspaper in the last two weeks, so keep that in mind.
[Mike Crawford] - Riley Investment Management: Okay, thank you.
Operator: Once again, ladies and gentlemen, to ask a question, please press star one on your telephone keypad. Our next question comes from [Rod Seth] with Cowan and Company. Please proceed with your question.
[Rod Seth] - Cowan and Company: Hi, Tom. Most of mine have been answered but I'm curious if your dashboard lights are blinking orange and you start seeing things to begin to unravel a bit like 2001, what are the first sort of things that you do in a business like this to mitigate the damage that might result from a down cycle where you begin to really see effect?
Thomas H. Reslewic: Well, there is a variety of stages, steps and some of which we're already starting to think about in a preemptive sense. So as you starts to move into a business where you expect your quarterly revenues to really boost particularly when you're driving aggressive R&D programs, as you can imagine our fiscal '09 budget has got a lot of hiring in it, adding a lot of capabilities, filling out our technical staff, our marketing organizations, and getting pieces of manufacturing as we start to move more and more units. So one of the things we do right away is start to really rein that in and make sure that we're not going to get ahead of ourselves with head counts. We take a long hard look at all of the NREs and programs and the variable expenses that relates to all kind of programs, the CapEx, and so forth and start to rein that stuff in. I think that there is a series of steps that we been through in the past where we just start to look at the layers of the types of expense and the layers and start to work them one by one. I think that we're at this point in time where we're acting as if the lights on the dashboard are orange even though they're not. And so, we don't have any – I don't plan to get caught by surprise with the downturn and find out that we're really late. But I will say this, if from a priority perspective there's –the Wave base that we just launched which still requires a lot of engineering and a lot of support and there is some follow on products to that that are vital. Another product launch that’s coming up out in front of us. There are two or three things that are absolutely vital to continue because products that will take us into segments of the market where we haven't been for the past couple of years, are the absolute best hedge against seeing some serious erosion on the top line. So the same things that we think can drive growth can really provide a bit of an insulator for us. So we are making sure that we're pulling out all the stops and throwing everything we have at making sure that the [inaudible] and the next couple of key products make their way to the market on track, in a timely fashion with all the enthusiasm and promotion that we had initially planned because those are the things that can really have a meaningful impact on our top line if the overall demand of our [inaudible] starts to decay. So we've identified a couple of key projects like that and then everything else we're willing to let some things slide and shift and move around a little bit to deal with any kind of strong wind, headwind that we face.
[Rod Seth] - Cowan and Company: And then this business – I did know 2001, 2002 isn't necessarily comparable but what would you expect assuming that this begins to happen. It sounds like you're taking some early actions to guard against. Where do you start feeling it in the business like how does it metastasizes itself in the business like yours. Is it something you feel more on the high end or low end or is it just general booking level in general coming down everywhere?
Thomas H. Reslewic: Well here's what I believe is the most prudent thing that we can do. Its best to start looking deal by deal …So you know rather than just kind of wait for overall trends our forecasting methodology and process is very well suited to getting early indications so we don’t just, we don’t review our bookings monthly. We have a pretty rigorous weekly hygiene around the bookings in the business. Now we have done a very, very careful forecast on a monthly basis and even expectations and guidance on a weekly basis by region, by product line, and so we know pretty quickly whether we’re starting to not hit the week as we expect them to occur and so that’s a very, very good quick sensation for what’s happened. We don’t have to wait until the second week of a fiscal month to see what happened in the previous month. Like a lot of processes so we’ve got good real time information and secondly as I started to say it’s about looking at deals. And so I like to identify five to ten specific relatively, a medium to large size deals that we’re working on and watch the dynamics of the deals and I would expect if things are going to really start to turn down, those deals will have difficulty getting signed off but the sales guys will be optimistic and they’ll expect the deals to come in this week. And it's in fact won’t or it’ll slide out to the next month or it’ll get kicked out to the first quarter, those are the things, the specific things that I am looking for. And, when I start to see enough of those then it will be time to start reacting a bit more strongly. Even it at that point our dashboard lights haven’t gone all red yet so that’s kind of the approach we take.
Operator: Our final question comes from [Sal Wayne] -- Lotus Investment Management
[Sal Wayne] – Lotus Investment Management: A couple of questions please. First I think you talked about this a little bit but given the, I think you mentioned a booking number for the first nine weeks, something like 67% and 51 is more or less what you target. Can you talk specifically about the order flow coming in at the end of the month or whether you saw any, how you describe the orders coming, going through September specifically towards the end of September? Totally separate, on your head count number, do you have a census what you think that count might be for the fiscal ’09? Thank you.
Thomas H. Reslewic: So, yes, I’ll start with the linearity, if you, so we like 61% of our orders to come in the first nine weeks of a quarter and this quarter was actually 64.7 I believe. So, yes, certainly higher than that and that really was attributed to a very strong July. And, a lot of that had to do with, we announced the WavePro 7 on July 1 and we, basically, sent a message to our international distributors in some countries, Israel, most of Scandinavia and number of places in Asia, Canada, we don’t have a direct sales force and so we use distributors to sell our full product line and the message to our distributors was the guy that gives us the earliest orders will get the earliest products out of production. So we got a nice surge at the beginning of July in orders for the WavePro and that really was one of the things that made July particularly strong and then thereafter the quarter, particularly on the scope side was very linear. Orders were strong in July, strong in August, strong in September and scopes business has continued very strong right into October. So I have seen almost no [inaudible] just a very steady linear really ideal order flow in the scope business. Our protocol business tends to be more back end loaded in general. Back end loaded in each of the months and in particularly back end loaded in the quarter the Protocol business on it’s own. doesn’t achieve those kinds of linearity and that’s partly because the protocol business is made up of a smaller number of larger deals, more discreet deals in the business where the scope business is lots of orders every week from all over the place. And, so, the protocol business was heavily back end loaded in the first quarter, so September was extremely strong. In fact, even though I wasn’t thrilled at the overall number in protocols, weeks 11,12, and 13 in the summer quarter in the protocol businesses were actually very strong and then the first couple of weeks in October, I would describe the protocol orders as okay. Not great, but not unusual for the protocol business. And in particularly when we had such strong weeks 11, 12, and 13 you could expect the fall to be completely dry but that wasn’t the case either. So, again, if you only tried to look at our business from a order flow linearity and steadiness perspective you would be hard press to detect a problem.
Thomas H. Reslewic: That’s not to say that there isn’t one out there. But it’s just not manifest in our order trend. And the second question was in regard to employees. At this instant we have 462 employees and how many did we have a year ago Sean, from now?
Sean B. O’Connor: Twenty-five left.
Thomas H. Reslewic: So we’ve hired about 25 people in the past one year and we’re at 462 today. And, if I just look at our budget I’m going to take a bit of a swag at this, I would say that our fiscal ’09 budget which has still three quarters to go, would probably adding something on the order of another 20 to 25 people. And, I would guess that we would probably not get that done.
[Sal Wayne] – Lotus Investment Management: Okay, got it.
Thomas H. Reslewic: So, yes, I don’t want to say anymore about that at this point in time because it’s still relatively uncertain but I can assure you I don’t know all the things that we need to do but I can assure you we are not just hiring to our budget in the face of the uncertain environment.
[Sal Wayne] – Lotus Investment Management: One last thing, I missed I think you gave some of the percent revenues by, or percent orders by, end market. I missed what it was for computers and military and government.
Thomas H. Reslewic: We focus on three segments. So the one that we felt computers, semi conductor and consumer electronics is one big blob for us and it includes things like Intel and Dell and Sony and so forth and that was 32% and that’s about the same as it’s been for the last several quarters. Harvard’s in that one third of our business range.
[Sal Wayne] – Lotus Investment Management: Okay.
Thomas H. Reslewic: And then the other two we report are data storage and automotive electronics which also includes a lot of industrial control applications and each of those roughly speaking are about 20% each.
Operator: I will now turn the conference back over to Mr. Tom Reslewic for any closing or additional remarks.
Thomas H. Reslewic – CEO, President: Okay, well, thank you very much and thank you everyone for listening and for all of your questions this morning. We look forward to speaking with you again when we announce our second quarter results in the January time frame. Good day to everyone.
Copyright: